Operator: Good day, everyone, and welcome to QuoteMedia Q3 results. [Operator Instructions] Please note, this call may be recorded. It is now my pleasure to introduce Brendan Hopkins. Please go ahead.
Brendan Hopkins: Thank you, Emma. Thanks for joining us today. We'll have a brief safe harbor, and we'll get started. Except for historical information contained herein, the statements in this conference call are forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results in future periods to differ materially from the forecasted results. With that said, I'd like to turn the call over to Dave Shworan, CEO of QuoteMedia.
Dave Shworan: Thank you, Brendan. Welcome, everybody, and thanks for joining the call. We're pleased to announce that we've achieved a 22% increase in revenue in Q3 over Q3 of last year. Everything is going really well and we're on track with continued release of our new products and data sets. And our existing clients as well as potential new clients are very keen to have access to all of our new products that QuoteMedia is producing. I'm incredibly happy that we're seeing many more large firms coming to QuoteMedia for our products and services. Many are looking to move away from the much larger incumbents in the industry and we're eager to be their market data and research provider. The trend in the industry is certainly following the pattern of clients wanting more modern products, broader data offering for their user base as well as decreasing their costs from their ballooned 20-year-old contracts with some of our competitors. All of these goals are readily met when they come and meet with QuoteMedia. And we're projecting continued growth as the year wraps up, and we're certainly on track to win some of these larger deals that are coming our way and look forward to answering some of your questions. So I'm going to get Keith Randall now to go through some of our numbers, and then we'll go through some questions. Go ahead, Keith, take over.
Keith Randall: Thank you, Dave, and welcome, everyone. I'll start with the income statement. Note that all comparisons are on a year-over-year basis unless otherwise noted. Overall, we had another outstanding quarter, as Dave mentioned, a 22% increase in total revenue. Breaking down our revenue, our revenue growth was driven by a 39% increase in total Quotestream revenue, and in particular a 48% increase in corporate Quotestream revenue. The increase in corporate Quotestream was primarily due to new contracts signed since the comparative quarter and an increase in the number of subscribers for existing customers. New products added over the past couple of years continue to gain traction in the market. And we continue to add data and improve the functionality of our existing products, which has allowed us to attract larger customers and increase the average revenue for our existing customers. Our individual Quotestream revenue was also strong, increasing by 18% due to increases in subscribers and average revenue per subscriber. The increase in subscribers can be attributed to new marketing efforts and an increase in average revenue. And the increase in average revenue was mainly due to additional data offerings. Interactive content revenue, which is web display content, increased 4%, mainly due to an increase in customers. The success of new products introduced over the past couple of years, such as QMod, and the broadening of our data cover to allow us to expand our market base. Our cost of revenue consists of fixed and variable stock exchange fees and other data costs, but also includes the amortization of capitalized development costs. Our cost of revenue increased 19% due to increased usage fees, vendor price increases and expanded data coverage. As our revenue growth for the quarter outpaced the increase in cost of revenue, our gross margin increased to 47% from 46% in the comparative quarter. There are nonrecurring credits to our cost of revenue that resulted in the increase in gross margin percentage for the quarter. But going forward, our gross margin will depend on our revenue mix as our interactive content revenue has a higher gross margin than our Quotestream revenue. Our total operating expenses increased 11%, mainly due to increases in personnel costs. Sales and marketing expenses increased 13%, and software development costs increased 1% due to additional sales and development staff hired since the comparative quarter. G&A expenses increased by 17%, primarily due to some large nonrecurring professional fees incurred during the quarter. Our net income for the quarter was $155,000, and our adjusted EBITDA was $540,000. Please refer to the reconciliation included in our press release for the calculation of adjusted EBITDA. Turning now to our balance sheet and cash flow statement. Our cash totaled $272,000 at quarter end, which is $146,000 decrease from year-end. Our net cash flow from operations is $1.6 million where net cash used in investing activities was $1.7 million due to increased spending on infrastructure and product development. We made some large nonrecurring payments during the quarter that accounted for the decrease in our cash balance. If circumstances dictate, however, we have the flexibility to reduce development and maintain a strong balance sheet and liquidity position. Looking forward, because our revenue is recurring in nature based on customers currently under contract, we expect to maintain our current revenue growth for the remainder of 2021. Thank you. And I'll now pass it back to Dave.
Dave Shworan: Thank you, Keith. Yes, I think it's fine for us to open up the call for questions, and we're happy to answer any questions you have.
Operator: [Operator Instructions] We will take our first question from Michael Kupinski.
Unidentified Analyst: So Dave, you mentioned that there are more large firms joining the company. I was wondering if you can give me a sense of how many accounts you have last year versus this year in the third quarter?
Dave Shworan: I don't have those numbers with me. Obviously, we're expanding accounts all the time. And what we are noticing, of course, is that the accounts that we are closing and the accounts that are coming in and the entire lineup of clients that are coming to us are much bigger. We're seeing that the data sets that they're looking for are much broader. The audience they're looking to cover is much bigger. Many are massive companies. And it's just -- we're really seeing that the trend in the industry is changing dramatically where many companies are coming to us saying it's time for us to move on from some of these incumbents that have been around forever that they've been using for their data and products and their antiquated solutions. And QuoteMedia's products are much more modern, we've got really broad coverage, we've got everything that they're needing. But I think the big thing is they're also looking for more of a partnership. They're coming to us saying, "We don't get any help with anything in the industry. We buy all this data. We try to do our own thing. And then 10 years go by, and we're antiquated. Things don't look good. Our costs are still through the roof. What can QuoteMedia do?" And we're just seeing that trend more and more on having lots of calls with companies that really like the way that QuoteMedia runs, the way that we're doing things. So I mean, to go back to your question of how many companies, I don't know how many we've closed. But we're certainly busier than we've ever been. This is a bit shocking about how many are coming in at us. And we're excited every day that big firms are coming in. They've got lists of requirements and we check off all the boxes and feel excited about where we're going.
Unidentified Analyst: You mentioned in the last quarter that you had some lingering effects related to the pandemic and ability to close some of the deals. Are you starting to see some of these deals now close faster? Or just kind of give me a sense of whether or not we're past the pandemic and now kind of moving forward and closing some of these deals?
Dave Shworan: Yes. I mean we're not past the pandemic, of course, I still have all my staff at home. But as far as how companies are working together, I'm actually finding it to be -- like how the world has changed, has become, I guess, beneficial in my point of view, because I don't have to get on a plane and have a meeting with a company, and you only have that time and then you leave and then that's the only meeting time you had. I'm now having some of these daily meetings with these bigger firms where there's 15, 20 people on a call, everybody is on video, we're all meeting, we're all talking. We're going through a plan, a plan of attack, how they can be better, how they can be bigger. So we're also seeing -- obviously, the hardest thing was that first year of COVID was a lot of companies were restructuring or trying to figure out how to do things and work from home and their programmers were at home and could they switch their data feeds or their products was a lot tougher, whereas now, I think, obviously, it's been almost 2 years -- I don't know how long it's been, a couple of years. People are more established. They've got their staff at home and working fine. They've got their teams doing everything the way they want it to happen and they can now focus on growing and moving forward. And so we probably have seen that progressing. Probably, after COVID hit, a year later we started to see it starting to pick up and pick up where companies were getting a little more back to normal. And I would say that now it's probably 100% of the new norm. I know everybody is tired of hearing that, but it's kind of true. Like we all accept it, but it's where we're at, what we're doing, and every company is coming and saying, "Look, we're now moving forward." We have to figure out a game plan. We've got senior management telling us that it's time to save money. We're spending too much on all of this with trading costs dropping, the dollars per trade going down to 0. They're really starting to look at all their numbers, and QuoteMedia is the perfect solution.
Unidentified Analyst: And the company obviously has a number of initiatives, including expansion of data, news coverage, international data feeds and so forth. And a lot of these products have been rolled out over the course of the early first part of this year and into this quarter. Why would the revenues of the company decelerate from that of the second quarter, up strong 22%, no doubt, but that's lower than the 27% that you had in the second quarter and when you have rolled out additional products. Was it a timing issue? Do you look for that to accelerate in coming quarters? Or how should we look at the trajectory of revenues?
Dave Shworan: Yes. I mean I think there were a couple of things that Keith could probably comment on, and maybe Keith, I'll answer the question and you could add a comment because there are some things that were done accounting-wise that maybe caused some of that. Additionally, we do see a little bit of a decrease, like a swing that happens in the summer months with clients that are -- maybe some of the larger clients that have their users or their clients are the day traders and the retail investors, individuals, where the summer months might be a little slower for them. And because we're charging per user at the time or how many users are using the products in the month, we do see that every summer there's a little bit of a dip down in maybe the Quotestream or the usage of data on some of these sites or these firms that we're providing data to. And so that gives us a little bit of that dip. I think the previous year, maybe we closed more deals and the dip wasn't as obvious, but we do know it's there. And as far as the releasing of new products, we have released some new products. But we're actually releasing a lot more as we approach the end of this year. The goal was to release products throughout this year. And some of the bigger ones and some of the kind of ones that took a lot of time and effort are now kind of coming to fruition, and our target is the end of this year and into Q1. So it's not like we rolled out everything in January, what we were saying in the year was we're constantly going to be releasing this year. We've got lots of new products, new trading analytics, new data sets, new products, new features, new applications. All these things are coming out over time, new charting, all kinds of things. And so yes, next year is going to be amazing because a lot of this stuff is coming out now. So I've been waiting and waiting and looking at it, and being part of the tester to see how everything is going. So that's where we're at.
Unidentified Analyst: And then can you talk about the trends in gross profit margins? I know they were a little better than I was looking for. And Keith, you mentioned that there were some nonrecurring credits in the quarter. Can you talk a little bit about how those credits influence the gross margin in the quarter?
Keith Randall: Yes, we had some accruals that we probably over accrued certain areas in the past, but slowly we reversed and, of course, that skewed the numbers a little bit. But like I said, going forward, they can speak to this as well, but really our gross margin is dependent on our revenue mix. So this is obviously hard to predict which customers -- new customers are going to come on board, but yes, it was a onetime credit to our cost of revenue that skewed the gross margin numbers that were higher for the quarter.
Unidentified Analyst: What would have gross margin been if you didn't have those credits?
Keith Randall: They would have been similar to the second quarter.
Unidentified Analyst: Okay. And then you mentioned that you obviously have a lot of products coming out in the fourth quarter. Can you give us a sense -- now that we're almost midway through the fourth quarter, can you give us a sense on the trajectory of revenues you indicated that you anticipate revenue growth to be similar to in the fourth quarter to what you've experienced here? But with the new products, should we see some sort of an acceleration in revenue growth in the fourth quarter?
Dave Shworan: It's possible. So I mean, kind of like our projection is similar to -- as we said, we're probably on track for all these similar kind of growth rates that we're running through. But when do these clients take the data? When do they convert to it? When do they add this? When do they start paying? Those are the kind of things that are still a little bit -- you release something and it might take some time to show huge growth of that product line. But certainly, we have companies that are looking at our new products, testing our new products, looking at our new data, testing our new data. Some contracts are already agreed to. They're already in the works, things like that. So I'm seeing good success, projecting better success, of course, of all this, but we have to get it more to market. And so obviously, when something is in beta or in alpha or something like that, companies have to understand. And so the revenue is going to be kind of growing over time on those. And then also, it's the size of the client, right? So you get a big firm that wants not only the data and the products that we have, but they want all these additional things that's just compounding. So really looking forward to it. The more products and data that we have, we have many firms that need pretty much everything we're offering.
Unidentified Analyst: Last question. You indicated last fall, I guess, the fourth quarter of last year that you gained kind of a big client. And so I was wondering if you can just give us a sense of how that client is performing. Have they been adding terminals? What are you seeing in terms of that particular client? And then maybe if you can score for us the prospect of seeing yet another large client in this quarter.
Dave Shworan: Yes. I'm sorry, I can't answer it because I don't keep track exactly of what clients are doing, every single client. But I think that client that you're talking about is adding terminals, adding users, having growth. I think that might be one that has an audience that is a little bit flatter in the summer. So probably we'll see more growth now that we're past summer, that type of thing. And then as far as new clients go, yes, there's others that are in the wings that are larger clients. The question is, of course, are we going to move ahead? Is it going to happen? Things are looking great, but you never know, right? We do everything we can, and we're trying to just keep closing bigger clients. And hopefully, we have some closing this coming quarter. If they don't close this coming quarter, maybe they're going to close in the first quarter. But we are seeing that everybody is much busier. All the salespeople are running off their feet. The amount of companies coming to us now with their demands and their requests and their targets and their goals and their spend and things like that is definitely higher than it's ever been.
Operator: We'll go next to Dean Avrahami.
Unidentified Analyst: Good quarter, as always. And Michael asked a lot of my questions. But I want to go back to the gross margin question. You mentioned that without these credits, they would have been similar to Q2. And I know a lot depends on the revenue mix going forward and things like that. But I'm wondering, do you think we've reached a trough because I feel like if the gross profit margin is really what's keeping you guys from having a higher stock price, like if I assume that you had the same gross margin without the credits this quarter, then they go to operating income essentially. So I'm wondering where you guys see that going and if you could just dive a little bit deeper there.
Keith Randall: I can answer that one. So I think our gross margins will improve over time just based on where our revenue goes. But again, it will determine those profit -- the percentage will depend on the mix. But circling back to the operating income, we would have probably had a similar operating income because we had other things, other onetime fees where we're below the line that impacted us negatively, mostly there is a lot of onetime professional fees during the quarter. So I think going forward, you can expect our operating income to be positive going forward at a similar level.
Unidentified Analyst: Okay. And my next question is, you guys talking about these larger deals, potential deals. I guess optionality, that's inherent in your stock, that you guys get in signing one of these deals. And you mentioned just now that some contracts, some are just signed, but maybe they haven't started yet. Are these larger deals? And also, if you could just talk more about how long it takes to, I guess, typically score one of these clients and what the process looks like, and have any walked away, the ones that you've talked about, any walked away or anything like that?
Dave Shworan: Sure. Well, we always do have clients walk away. I mean, otherwise, we'd be growing hugely, right? And sometimes it's not just because of us, it's because they take a look at what it's going to take to do a transition and they go, "Give us another year. We got to think about this. It's a lot of work on our side, our internal costs, things like that." Who knows? But we've had that happen over the years. And you know what, we've won clients. They come back, they close the deal and we move forward. So they just get a good perspective of what QuoteMedia has. If they choose to go with the incumbent or the larger provider, typically, I know that they're going to come back because I haven't heard any happiness that way. We've had many clients come to us that we've signed that have done that, gone that route, and then once that contract is up for renewal, they come to QuoteMedia. So as far as have we closed some bigger deals? We have. How big, I can't say. We have to do press releases and things like that to divulge some of that. Some of them are in paperwork. Some of them are maybe going to be releasing next year, looking at the coding to our products, our data feeds, things like that. But yes, I mean, we've got -- like I said, we do have -- all of the clients are bigger and bigger. So there're some that are kind of wrapping up. And I would say they're medium, the ones that I know of that are wrapping up here. The ones that are in the works that are maybe not quite wrapping up, but they were getting closer to the end, might be even larger than that. It's just -- will they close? What's the timing? What's the revenue start point, things like that. It's hard. That's why whenever we're running our projections, it's really hard to kind of map it forward because there's so many unknowns with these things. And if some of these big ones sign, well then our projections, we just throw them in the garbage because they're way different, right? It's just the way it is. But I hope that answers your question.
Unidentified Analyst: No, that's good color. I'll get back in the queue.
Operator: We'll go next to Richard Walker.
Unidentified Analyst: Nice quarter. I appreciate you taking my call. When we talked last quarter, you mentioned that one of the major sticking points in terms of you getting more business was the fact that you were a lesser known main. It sounds like from your tone and from what you're saying that perhaps that tide has turned a little bit. I'm wondering if you feel like you've reached or are getting close to a tipping point where that's not really a major objection anymore, that you have the breadth of a product and you have the support -- and you have the reputation it sounds like that's building, where when you go to see some of our potential client, they don't give you that, "Oh, you're just a small player." It's more like, "Yes, we've heard of you. We've heard good things. So let's talk."
Dave Shworan: Yes, exactly. And every year, every quarter, everything helps because as we bring on bigger name clients, obviously, if you take a look at our press release and you go to the bottom and in About QuoteMedia, we list off our clients. If you go to our website, you can look at testimonials from all of these clients. They're all still with us. Our retention rate is through the roof. It's great. People love us. We do everything we can to keep clients happy. We treat them like partners. We're vested with them. They're vested with us. And our name and our brand is certainly growing and growing in the industry. And now being at the table with these larger firms and having them say, yes, so we're looking at you and then they list off the others, and the others are all multibillion-dollar companies. We're proud that we're at the table and often chosen because they're done with the lack of service. And they're actually talking to the senior management of QuoteMedia, including me, to solve their problems. Whereas with much bigger firms, you're not talking to anybody up the chain, you're talking to a sales guy that's doing the best he can, and then you've got to go to some manager. And it just doesn't work. And we're hearing that a lot from companies that they're done with that. They're getting gouged. They're paying fees that are ridiculous. Nobody is helping them to save money. Are they on the right exchange data? They're paying all these exchange fees. There's lots of alternatives of how to deliver data, all these things, right? And so we're just a different style of company. We've continued -- even as we're growing, we're going to keep that mentality and that trend. I get constant e-mails back about how great our team is and how they like working with us. And so as we keep growing and announcing the bigger firms or showing the bigger firms, some of them don't allow announcements, but they do allow us to tag them in our press releases or on our website or something like that. It's a very competitive industry. They don't want to allow announcement to tell their competitors what they're doing and things like that. And I get it. But some of these, we're going to have to announce. If we close big ones, they have to be announced. That's just the way it is. And so yes, we're growing our brand, and we certainly want to -- as we put in our press releases, even when we were little, the leading provider, I think we are truly a leading provider now.
Unidentified Analyst: Okay. Excellent. And it sounds like really you being a smaller-sized firm might work to your advantage because you can say, as you have in the past, look for more nimble or quicker to respond and you don't have this hierarchy of manager and regional manager, et cetera, et cetera, to go through. You're talking to -- you don't like what salesman says or you have a problem, then it's pushed up to the top management and they'll handle it.
Dave Shworan: That's exactly it. Yes, we hear that all the time. We're obviously more nimble. We'll listen. If a company wants a certain product, a certain way, we can manage that. Whereas with the larger firms, obviously, if you want something changed, it's going to be a lot of money. And the reason it's a lot of money is because it takes 15 people to sign off, then they have big teams of people that have to code it and change it, and it's just a nightmare. Whereas we're -- we get it, the company has to grow. It has to change. It needs to expand. It needs to have a new way of delivering the information. The world is becoming more mobile. They have to use mobile-friendly products, products that are more modern, products that are competing with their competitors. There's competition out there. And these bigger firms, often you look at what they're doing, and it's old. It hasn't moved with the time. And yet, they're having their competition, these younger companies come in and do things more modern and attract that younger modern audience and the larger firms are falling apart, falling down -- not falling apart, but they're just not succeeding in going to the next level and keeping up with the times. And QuoteMedia's products keep up with the times. We're always modifying and releasing new products and everything. It's mobile-friendly. It works in phones, it works in iPads, all of these things, because we're modern and we're developing new products that are very catered to this audience, and companies are seeing that.
Unidentified Analyst: Okay. All right. Great. Final part, you've obviously been spending money to develop the new products getting out there, totally understandable, money well spent. Do you think you're pretty much at the point in terms of not only product, but personnel? Can you grow from here in a meaningful way without adding more personnel and more product?
Dave Shworan: Yes. I mean, obviously, there's areas that we would have to grow, customer support areas or different implementation areas depending on how many firms we line up and we close all at the same time and things like that. I think that the constant growth, though, obviously trickles down. So I don't see us ballooning and having to need more and more and more people, just people in certain areas and certain pieces to target and close and help clients through launch and things like that. But as far as your question goes, it's not a compounding thing where our user -- not our users, our staff are going to follow the revenue growth, right? I think that was your question. So no, it will be much lower than the revenue growth.
Operator: Another question from Michael Kupinski.
Unidentified Analyst: Just a quick couple of follow-ups. Dave, on one of the conversations we had before, you mentioned that products around fixed income coverage could offer a significant growth opportunity for you. And it seems like you mentioned that you're planning expansion of fixed income coverage, I believe. Is that targeted for the fourth quarter, first of all? And then secondly, as we look to 2022, would you expect to see an acceleration in revenue growth beyond what you saw in 2021, just based on these new international data feeds, the expansion of fixed income coverage and so forth? Would you be disappointed to see a deceleration in growth? How do you gauge what the opportunities are as we go into 2022, especially with the new products that you're launching in the fourth quarter?
Dave Shworan: So yes, like fixed income is one of the products of many. And fixed income is a constant growth product, right? So there's millions and millions and millions of fixed income instruments. Very hard to cover the entire industry. So we work with firms to find out what kind of fixed income coverage they're needing, whether we have it in our source, how we're pulling it together, how we're creating all the data and things like that to see if we can cover that company and we can provide what they're looking for. That's a constant growing thing, and we are closing fixed income deals as we progress. I see that continuing to grow and grow and grow. Fixed income coverage is trickier, harder, that's why there are some pretty massive firms in this industry, but we are growing that, and I'm actually quite pleased with how it's growing. But it's a harder one. The other products, other data sets, other product lines, more mobile stuff, more web products, et cetera, more Quotestream products, those are all -- I see tremendous excitement as we present these to the firms that we're working with or newer firms that are coming in the door, showing them what's releasing in the next quarter, what's releasing in the next -- first part of the year. And they are diving at these saying, "Yes, I need that. We're going to need that." So I guess I'd be personally disappointed if we didn't see growth beyond our current products and nothing of the new products. I don't think so because everybody I'm showing these to is very excited with what we're doing, our new analytics, our new charting, all these new things that are coming out. And they need them. They want them. It's new. It's additional content. It's additional data. It's additional product. So we just have to get them sold, right? And so how fast are they going to sell? Well, we've got a nice customer base that's all going to be shown all this as time goes on. And we are expecting uptake, nice uptake on all of this, as well as lots of new customers are looking at it and saying, "You know what, we like what QuoteMedia is doing. We like where you're going. We love the new products. We love your road map for next year of what you're going to be putting out next year, we want to come onboard with you. You're the right company to come onboard with." And so that's what we're hearing. And that's our model, and that's -- so we'll see what happens.
Operator: We do have one more question from Ryan Parker.
Unidentified Analyst: Nice quarter. So a quick question. One of the other callers was asking about the development of new products. And I know that we've been putting a lot of money into the research product. Is that spending cycle almost complete?
Dave Shworan: Yes, I mean, some of these things are cycles that are either complete, where they wrap up and the cost might decrease or they might just be sustained. It might be a team of people, of systems that we're putting in place and things that are going to be running that are now providing this new product line or new data sets or things like that, and it's more of a flat line than it is growth. So it's kind of like a spend to achieve that and continue that spend. So it's not really like, oh, we spend all this money and then it just turns off. That's not quite how it works. But some of it is also -- we might have other costs, maybe other data that we don't need anymore, we can decrease those costs and we have our own data and our own costs.
Unidentified Analyst: Okay. So you're basically saying that the product development expenses that have been going into the research product will then go towards something else?
Dave Shworan: Or continue that research. So the cost that goes into it is to gather it, collect it and continue to run it. The data continues, changes every day. So that is ongoing. That's what I mean. It's just ongoing. It's not like it's created and then everybody walks away and the costs drop. I need that team. I need that to continue. And as everything is working, that team stays there. I think it's that. That's what I mean.
Unidentified Analyst: Okay. When do we anticipate the revenues ramping from the research product?
Dave Shworan: It all depends on the uptake. There's lots of parts of research, right? That's all releasing towards the end of this year, into next year and continuing. Research never ends. So it's just expanding and expanding and expanding, and company reports things like that, that next year we've got all kinds of delivery of analytics, things like that. So when do we see it? It's imminent, right? There's companies looking at it. There's companies that are saying, yes, we're going to need that. And so we're just going as fast as we can to make sure everything is perfect, finish the products, finish the data sets, QA, quality assurance, quality testing, that type of thing. So it's all looking good for this next year.
Unidentified Analyst: Okay. So is the research product available now? Or is it going to be available later this year or the first quarter next year?
Dave Shworan: Well, like I said, there's lots of different research. It's not like it's one product. There's many parts of products. So some things might be available, some smaller parts, some bigger parts. But the general -- a lot of it will be available next year, early next year as far as full packages and full integration into firms and things like that.
Operator: There are no further questions.
Dave Shworan: Okay. Well, thank you, everybody. Thanks for joining the call. Just to wrap it up, I guess, if you have any more questions, feel free to reach out to Brendan Hopkins at bhopkins@quotemedia.com, and we look forward to meeting with you again. Thanks so much. Bye-bye.